Operator: Good morning. This is the Chorus Call conference operator. Welcome and thank you for joining that Nexi Nine Months 2023 Presentation Conference Call. As a reminder, all participants are in a listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Paolo Bartolozzi, CEO of Nexi. Please go ahead, sir.
Paolo Bertoluzzo: Good morning to everyone and welcome to our call for results for the first nine months of 2023. As usual, I'm here with Bernardo Mingrone, our CFO and Deputy GM with Stefania Mantegazza who leads our Investor Relations activities and team, and a few other members of our team in case we need their help to answer to your questions. As usually for our quarterly results, I will be covering the key messages, the volume dynamics that we are observing, and the key updates on merchant services. I will hand over then to Bernardo who cover results for the nine months and for the quarter. And then we'll come back for my closing remarks and most importantly, for your questions. Let me start at Page 3 of the presentation that, as usual, summarizes the key messages. Message number one, throughout the quarter we've seen a continued volume growth across all our geographies. In general, we've seen a mid to high single digit growth across all of them. I think the group wide average in the quarter has been around 7%-8% despite tough comparison against August last year that was very, very strong, especially in the Mediterranean countries, Italy and Greece in particular. We have seen growth also across all consumption categories and segments within particular SMEs growing volumes double digit in the first nine months of the year. Last but not least, we continue to see a solid growth in September and October across all geographies. Second key message, in the nine months our results have been in line with our plan now with a very strong continuing margin expansion. Revenues, the growth 7% in the nine months with the third quarter performance affected by the comparisons with last year summer that was very strong. Merchant Solutions revenues drawn in nine months at 8.2% with e-commerce growing double digit. In here, we underline the performance of Germany. There's been an up on here of attention over the last few weeks for the markets in Germany in the first nine months of the year. We've been growing at 12.6% with a very healthy growth at 8% also in Q3. Last but not least, EBITDA has grown so far in the year at about 10%, 10.2% to be precise, with a margin expansion so far of 149 basis points actually growing in the third quarter to 156. And we expect this performance to be confirmed across the year. Last but not least, we continue to progress in executing our strategy announced at the Capital Market Day. The various fronts are progressing well as we've integrated the Company more deeply at the beginning of this year. We've started to identify further efficiencies and synergies that will become visible in the next few months and in the coming years more broadly. Second key point, we have rebranded Germany and more broadly DACH to Nexi. This is a very important step for us because we normally brand an asset where we feel very comfortable with the status and most importantly with the outlook and the possibility to accelerate further in the region. Third, we've sold our -- or actually signed the sale of our Nordic eID business for up to €127 million to IN Groupe. The IN Groupe is a French company leading global identity and secure digital services provider. These, as you remember, is an asset that we have declared -- is a very nice asset in fact, but that we declare as a non-strategic and therefore asset for sale at the Capital Market Day last year. In attachment to this presentation you will find a page that describes a better terms of the dealer and the perimeter of the business as well. Last but not least, now we continue to reduce our net debt leverage in line with our plans. And just as a confirmation, we have already -- we will be covering, will pay down our 2024 and 2025 maturities that account for about €1.3 billion with the cash that we have already available that is closer to €2 billion. Overall, we confirm the guidance for the full year that, as a reminder, is about 7% revenue growth, EBITDA of 10% or above that, and excess cash of at least €600 million. Let me now move to volumes. Here as usual you see a very rich page from us on volume dynamics I think into next year. We probably simplify it and move it back because it was something that we need to do to allow you to understand the dynamics throughout the COVID period that hopefully is by now well behind our shoulders. I think there are three themes across the various markets. First of all, Italy and Nordics growing mid high-single digit despite the fact that, as you can see very clearly, we had a lighter August in Italy on the back of a very strong August last year. And actually we have the DACH region that is actually growing double digits -- more in the double digit space driven, I would say, by a particularly strong performance in SME in Germany. Second key message, as you can observe, there is a solid continued performance in the basic segment that includes groceries, supermarkets, utilities, all those type of things that even throughout the macroeconomic weak period continue to basically perform well. But you can also see that we have a lighter trend in discretionary consumption. A little bit across all markets is slowing down in throughout basically the summer. Third key message, in October we see these trends continuing in as a pretty solid way. And you see the numbers here on the page. Let me now move through the usual update on the key new news in the Merchant services business that accounts overall well for more than 50% of our business. In SME, we still see volumes growing about 11% in the first part of the year so far. A few things that we'd like to underline, we continue to see a growth in our terminal base that is a good proxy for our customer base as well. Over the last 12 months, this base did grow about 100,000 terminals. Second point I would like to underline again has to do with the rebranding of Germany and DACH to Nexi. In this occasion, we launched a very advanced digital proposition for SMEs with a very strong focus in SMEs. That includes obviously as my terminal a very simple no-frill pricing structure for our merchant customers and a fully digital customer experience and onboarding experience, so we can onboard customers in less one basically two days 48 hours. Third message I'd like to underline, Orderbird that as you may remember is a German software company that specializes that in point of sale software mainly for restaurants and hospitality is continuing to grow at around 20% and we have started to cross-sell deeper across Nexi in Orderbird in our SME base from basically after summer. The fourth message I'd like to underline as far as SMEs are concerned is that we continue to expand our partnerships with ISVs and platforms. In the last quarter, we have signed about 40 new partnerships across the various geographies. Overall, our partner base is by now above 1,100 partners. Moving to e-commerce, in e-commerce we saw a continued nice growth at about 8%. It is probably in line or better than what market is showing in Europe. This growth has been supported by a customer base growth of about 8% mainly driven by continued expansion in Italy and in the Nordics. We continue to have a heavy focus on mid-market clients across geographies with a very strong focus on retail. Third thing I would like to underline, as you remember, we've signed a strategic partnership with Computop that is the German leader on online acceptance solutions. Also in this case, similarly to what we are doing in SME with Orderbird, we are accelerating revenue synergies, basically cross-selling and upselling into the respective customer base is starting from Germany and we are preparing to leverage competent technology across the group, in line with our initial strategy. Last but not least, also in e-commerce we have signed up a number of partnerships. Let me underline three premium partnerships that we've signed at the group level with three very key leaders in the platform space being Shopware, Magento and PrestaShop. Last but not least, also in LAKA we see an healthy continued volume growth with an healthy pipeline or commercial new wins in key sectors and geographies covering from retail to grocery, smart mobility and EV charging. And here again we are pleased to see that we are working on more and more advanced solutions. For example, in Italy we have launched that recently with the leading -- one of the leading very large supermarket chains, a fully digital automated cashless supermarket experience, and we will roll it out across their group in Italy. Let me now hand over to Bernardo for financial results.
Bernardo Mingrone: Thanks, Paolo. So as Paolo walked us through volume growth and the growth of our business in the third quarter in nine months of the year, we can now see how that translates into financial performance. So starting on Slide 7. As usual, we summarize the group level performance at top line growing 7% in the nine months, that's 5% in the third quarter. As we had discussed at the start of the year and during the course of the year, we expected this slowdown in the third quarter due to the difficult comp we had with the summer of 2022. This has, nonetheless, not stopped us from increasing our EBITDA margin, 156 basis points in the quarter, round about 150 in the first nine months, and EBITDA growing by 10% for the first nine months, 8% in the quarter. Similar story for Merchant Solutions where we continued to see sustained growth in the value transactions across the group. I would call out performance in Germany in Merchant services with 7.6% growth in the third quarter and 12.6% growth in the first nine months. But as we've seen, volumes continue to grow handsomely in both SME and e-commerce with double-digit year-on-year revenue growth. Moving on Issuing Solutions, we have a similar story with 7% or close to 7% growth for the first nine months. We continue to grow our business across Europe. We highlight the partnership in Norway on BankAxept and the continued focus on upselling and cross-selling our value added services and value propositions across Europe, and pursue our advanced digital issuing solutions as per our strategy. DBS had 3.3% growth in the quarter. It is actually growing year-on-year notwithstanding the fact that we discussed this a number of times in the past that we suffered in this business unit from Italian banking M&A, which basically led us to lose some customers in the past. Notwithstanding this, we managed to grow the business thanks to strong volume growth, particularly in the current account segment EBA clearing volumes were -- instant payments were particularly strong but in general, the business unit performed handsomely in the quarter. Moving on to the regions or the geographical split of our revenues, we can see how countries with Mediterranean focus, so Italy, South Eastern Europe, are the ones that suffered most because of the summer or the year-on-year comparison I was referring to earlier. On DACH and Poland, just remember the Germany within that group was growing 7.6% in Merchant services whereas in the Nordics so called out how merchant services were growing 7%. With regards to costs on Slide 12 that is, you can see how our efforts to extract efficiencies benefit from the synergies of the past M&A allows us to reduce the impact which is nonetheless there of inflation. This you can see on operating costs. On personnel costs, we've discussed how we've been investing heavily in people in high growth areas, and obviously inflation leads to some way through there as well nonetheless for the first nine months with 3.8% in terms of year-on-year cost growth. And in the quarter, it was 1.3%. Obviously the third quarter, fourth quarter are seasonal. We have a benefit of holidays in third quarter and in the fourth quarter we will see where we end the year as usual. It's a bit of a particular month in terms of invoicing from suppliers, accruals, et cetera. However, we stand by our guidance for the year in terms of EBITDA growth and therefore, cost containment. With regards to indebtedness on Slide 13, we can see that we continue the deleveraging trend, which we had observed in the previous two quarters. We're now at 3.1x leverage, 2.8 if you include run rate synergies. We were upgraded to double or Ba1 for Moody's in August. This is a fixed rating upgrade since January last year, which is obviously something we are very proud of and reflects the strength of our financial profile. As Paolo has mentioned, we will not -- well, we'll be refinancing with existing cash. The maturity is coming due in '24 and '25, that's approximately €1.25 billion. So we won't be in need of tapping capital markets for these. But that stack, I think, is well managed, obviously, and biased, but our cost of debt is 2.8%. This is less than the yield on our cash on balance sheet. The average maturity is 3.3 years. Three quarters of our debt is fixed and only a quarter of it is variable. So strong cash generation in the quarter, which stands us in very good stead to meet our targets for the year. That said, I'd hand the floor back to Paolo for his final remarks and guidance.
Paolo Bertoluzzo: Thank you, Bernardo. So let me just reiterate the fact that we are confirming the guidance for the full year. I think I don't need to read it. You know it very well and it's very clear on this page. Let me just make a comment as we move forward, as we usually do in this period of the year, we're preparing the plan for the following year. As we prepare the plan for 2024, we will obviously have to take into account the persistent weaker macro environment across the various geographies. In any case -- whatever the top line growth number within that being. In any case, we expect to continue to expand our EBITDA margin and we expect to continue to generate growth -- significant growth of our excess cash generation, thanks to top line growth, but also to operating leverage, synergies, further efficiencies and CapEx normalization in line with our plan. And we'll talk more about all of this clearly in early March with our full year results call. And in the context, we will continue to provide additional clarity and direction on our capital allocation strategy. Let me then close. Coming back to the summary page. We see continued volume growth across the various geographies in the quarter with a mid to high single digit across the various fronts. Results in line with our plans. Again, I want to underline this very solid and strong performance in Germany, growing double digit in the first nine months of this year with a very strong EBITDA margin expansion continuing throughout the year. And last but not least, we continue to progress in executing our strategy. And again, here let me underline the sale of the Nordic eID business that is absolutely in line with what we had declared last year at the Capital Market Day. And again, we confirm our guidance for the year. Let me stop there and open to your questions.
Operator: [Operator Instructions] The first question is from James Goodman with Barclays.
James Arthur: You're probably expecting some around Germany, maybe start there with -- and I guess there's two parts around that. You made some comments already on the strong performance there. But what are you seeing right now in terms of macro and the health of the consumer and discretionary versus nondiscretionary in that market? And the second part, I suppose, around Germany is on the BaFin side, probably worth a comment there. I see that there was a report on Concardis from then late last year, but it looked pretty minor in terms of the scope of that. But if you could just clarify on that side? And then the second question, just around the news flow that we saw a few days ago regarding your large client UniCredit and a desire to renegotiate certain terms potentially around the agreement there. So could you make a comment on that, please?
Paolo Bertoluzzo: Let's start with Germany. What we see in macro is basically the following. I think the economy in macro, I would also add in the Nordics to a certain extent, is clearly weakened over the last few months. Let's be very, very clear on this. And I think you see it in the discretionary goods category dynamics there. Just as a reminder, what we classify into discretionary goods are basically the products and services that you can really decide not to have, but we put travel and restaurants and [indiscernible] into the high-impact category. But if you look at the chart that shows the volumes, you see that a little bit both of them are weakening in -- over the last few months while you continue to see a very solid growth in the basic consumption category. When you look at the outlook of the economy, we also see when we analyze the customers that are exiting, we're also seeing a growing number of bankruptcies. Except that, I think that our performance that is particularly strong in SMEs that are growing actually double digit also as we speak. Our performance cannot be taken for the market performance. I want to be very clear here because while in Italy, we have a very large position, and therefore, we are a decent proxy to the market, in Germany we have 10% to 15% market share, depending on the segment, in some cases 20%, and therefore, we are not necessarily a good proxy of the market. And we believe that a part of our performance has to do with the fact that we are probably winning market share in Germany. Again, I'm saying -- and I want to underline probably because there are no official data here. But if you look at the dynamics and what we see around the various data points that are emerging, that's our assumption. So our performance is sustained clearly by a good dynamic on our side, but there is no doubt that the market is showing some weakness over the last few weeks and months. As far as BaFin is concerned, I want to be clear using a simple expression for us. This is history in the sense that, as you mentioned, I mean, BaFin is a very active regulator, especially over the last few years, and they do either standard regular audits or special audits quite frequently. As reported on the various fronts from Nexi, in one of the audits that was completed in 2022 BaFin identified a number of remediation actions that were recommended to us and that we are actually executing very much in line with the agreed plan. And as you said, there was no material consequence. Obviously, the execution of these remediation actions requires some effort, but no direct consequence in all of that. I know that there was a lot of debate around also some specific customer segments with high risk profile in terms of fraud, more than credit and so on and so forth. Again for us, that's completely history. That's an issue that we had back in 2021. At the end of 2021, we did decide to close entirely that business, by the way, again in dialogue with the regulator. And we basically already completely digested that impact throughout 2022. As far as the relationship with that customer that we all know is actually UniCredit. You know that we never comment on specific contracts or specific customer relationship, but given the fact that it has been public and let me just reiterate what we said in the past. UniCredit is a very important customer for Nexi. We have with them a processing relationship, mainly in Italy, but also covering a few other geographies. This relationship is embedded into a long-term contract that goes to 2036 that was renewed about three years ago before the merger in between Nexi and SIA. As stated by them very clearly, UniCredit wants to raise the ambition impairments. That is something that we obviously like and as we normally do with our customers as they want to raise their ambitions or change their strategies more broadly in our space, we obviously sit down with them and discuss how we can be able to achieve what they want to achieve for the strategies, and that's exactly where we are with them.
Operator: The next question is from Sebastien Sztabowicz with Kepler Cheuvreux.
Sebastien Sztabowicz: One question regarding 2024 outlook. We know that the macro conditions are getting weaker right now. And how do you see your business evolving next year? What kind of net revenue growth we can expect for next year? And assuming we have lower-than-expected growth in the next few quarters, have you already identified a couple of areas where you will be able to generate some specific cost savings in order to protect margin or your free cash flow going forward?
Bernardo Mingrone: Sebastian, thank you for your question. Listen, I know that you'd like to have the guidance for next year today. But as I've anticipated, we'll talk about it in March. We are working exactly on both the topics that you have mentioned. On as far as the top line is concerned, we continue to believe we're fully convinced we are, as a business, a GDP-plus type of business, and we continue to expect that to continue. Also in a weaker macro environment then, how much more than GDP you can deliver or not will depend on many other things, and that's exactly the type of work that we are doing at this stage. We will continue to stay focused in capturing some of the very key accelerated growth opportunities that we have discussed over the last several calls to begin with in e-commerce across the board and the DACH region in Germany more specifically where, as you've understood, in both cases we have already, as we speak, despite the environment, a double-digit top line growth. As far as the cost area and the resource allocation area more broadly, we will talk more about that in March again. But honestly, we are finding new opportunities a little bit across the board. Let me just mention a very simple and easy one, customer operations transformation on the back of digitization, including artificial intelligence and the new generation of generative AI as well. But there are many other fronts as well. And just to conclude, you may remember from our Capital Market Day that we had committed to reduce CapEx spending into next year, and that will happen. Already this year, we'll end up with a lower absolute spend on CapEx, but also -- and therefore, even more lower CapEx spend as a percentage of revenues that this reduction will accelerate further next year. This is not a "cutting CapEx exercise". We really believe that we need to invest in our future. That's the reason why we call it normalization because, as we discussed very well, we knew that on the back of the integration and we knew back of the strategy, we would have had a couple of years with a higher than the normal CapEx and we have committed to normalize that level to healthy, but see sustained levels going forward, and that's exactly what you will see happening next year. And sorry, together with that, obviously the nonrecurring transformation costs as well.
Operator: The next question is from Antonin Baudry with HSBC.
Antonin Baudry: I would want to come back on UniCredit. Would it be possible to know what it represents in terms of revenues for you? And what is the risk related to this potential renegotiation? Is it a risk to decrease price so to lose some revenues? Or is it a risk to lose the contract itself? On the other side, UniCredit also waiting option for its merchant acquiring business. So is it an asset that could interest you? This is my first question. And second question quickly, the pickup on digital banking, what is the dynamic behind this particular segment? And what should we expect in the coming quarters on this particular business?
Paolo Bertoluzzo: Anthony, thank you for your question. Let me just cover briefly the first one and then I will hand over on DBS to Bernardo. On UniCredit again, is a large customer of the group, one of the very largest. And again the -- we are into a very long-term contract that present ever exit clauses [indiscernible]. So it's a very solid contract. Said that, as we said before, we are very keen to help UniCredit to achieve their ambitious impairments that are growing as they declare very specifically and we can obviously now observe in our conversations as well. And normally, if you end up signing a new deal on top of an existing one that is very solid, this means that it's something that you consider overall being a win-win for the Company. As far as the merchant book, honestly I don't believe they have, within their strategy that option. You should obviously ask them, but as I said, they declared very explicitly that they want to invest more in payments, not less, and that they want to have more visible and longer term role in this industry. So I will be surprised if they decide to do anything on the book. So that, in general, especially when you talk about our large and strong customer relationships with banks in case they want to do anything. I'm not talking specifically about UniCredit, I'm making a more broader point. In general, we obviously are interested in looking at those opportunities, again if that's what the strategic intent is. On DBS, Bernardo?
Bernardo Mingrone: Just, UniCredit, to reiterate your point Paolo, because we get -- finding a lot of questions around the contract, which, as we said, is an important contract for us. When we say there's no break fees to be paid or termination fees, it doesn't mean that UniCredit can terminate the contract without paying an amount. It means their contract is expected to run through until 2036 and there is no option for either party to withdraw from this contract beforehand. And therefore, there are no fees to be paid because there's no option. Just to be 100% clear on this. With regards to DBS, this is, as we've always discussed, the more infrastructure-like business unit compared to the other two in terms of the services it offers. Nonetheless, there are some revenue-driven area -- or sorry, volume-driven areas within that business unit. I called out accounts, account volumes on EBA Clearing, instant payments, which have significantly outperformed our own expectations, which have helped offset, as I said, the year-on-year comp effect of losing some clients. Open banking is another area which is booked in this business unit, which is benefiting from strong volume growth. But it is also an area where we have project work and the quarterization of project work is difficult to predict. So for instance, I think a week or so ago, we announced a deal in Canada with the Central Bank of Canada, which happens to be in the fourth quarter, it could have been in the third. Overall, we expect this business unit to grow low-single digit -- low- to mid-single digit, and this is going to be flattish this year, so positive but flattish.
Operator: The next question is from Aditya Buddhavarapu with Bank of America.
Aditya Buddhavarapu: Just a few. So you talked about the difference in trend between basic consumption and discretionary and in Germany but also the southern market. Can you just talk about what difference in take rate is between those? And if you see volume growth being stronger in base consumption, does that translate to lower net revenue growth versus the discretionary? That's the first question. Second, given what you said on 2024, how should we think about the sort of the midterm targets which you gave us last year at the CMD given the current macro environment? And then finally, you're going to pay back about $1.3 billion of debt over the next two years with the existing cash. So what does that mean for the cash returns? I think you said of the $2.8 billion excess cash, you plan to pay about $1.5 billion of debt and the remaining could be returned to shareholders. So if you could give any update on the thoughts around that.
Paolo Bertoluzzo: Thanks for the three questions. On basics, this is discretionary. Listen, I think it's quite normal that when the economy becomes more fragile, people concentrate their available income and spending, ability to spend into basic services must have services and goods versus discretionary. So there is no new news there. I want to be clear on something. The profitability or, if you like, the average net price that customer base doesn't depend per se from the sector from the vertical and therefore, is not necessarily driven by the fact you are into discretionary or into basic. It has to do mainly with size of the merchant and therefore I need to be clear. A small grocery store pays normally higher fees than a very large restaurant chain. So it's really driven by the size. The fact is, however, that depending on the markets, in the customer base, you normally have into the basic consumption services merchants that are in terms of size on average larger than the ones that you have into the discretionary goods and consumption sectors. You have a larger grocery chains or the market chains, you have utilities, you have these type of things. And that's the reason why ultimately you see lower average take rates in the basic consumption than what you see in the other. I would prefer not to give you precise numbers because again they are different by country. But in some cases, that difference is material. If you look at our own numbers, that again are not necessarily representative of the market. We see a little bit of impact of that dynamic mainly, I would say, in the Nordics in Germany, where, as I said, we see some more visible signals of macro deterioration. And -- but even if you see those signals at this stage, their impact is absolutely marginal. And I think we're talking about a couple of million euros in the quarter. As far as medium targets are concerned, we'll come back to the topic, as you can imagine, in March in the context of budget and the guidance for 2024. So let's have a conversation back then. In general, we remain super convinced about the full potential of the industry and the full potential of the strategy that we've announced in terms of area of acceleration and a greater focus for Nexi. Then how the numbers come out in a different economic environment we will -- we are reviewing and we will discuss in March. As far as cash is concerned, Bernardo?
Bernardo Mingrone: So this is no real news. As you're suggesting, Adi, we will use the cash on balance sheet. As I said, it's approximately were close to €2 billion now, but €1.25 billion more or less, a bit more than that will be used to basically redeem or pay back loans and bonds coming due in '24 and '25 as we had previously announced. And that's out of the €2.8 billion in total cash -- that is excluded, sorry, from the €2.8 billion total cash we'll generate from our plan in the '23, '24, '25 period; as are, by the way, excludes and proceeds, for instance, of the eID business, which we finally managed to sign actually in the early hours of this morning, after almost or just over a year of process. So in terms of capital allocation going forward, I think as Paolo is suggesting, we'll come back to you in March. We'll be closer also to our AGM, which needs to be involved in discussing and approving any kind of capital restitution to shareholders, but we'll come back with a clearer picture in March when we announce full year results with regards to how we allocate the excess cash that we are generating.
Aditya Buddhavarapu: Just maybe a very quick follow-up on the first question. Could you just remind us of your exposure to the different categories, basic discretionary high impact? I think in the past, you've said in actually 40% of your exposure was basic. If you could just maybe give us an update on that across the different markets?
Paolo Bertoluzzo: Listen, again, you should always remember that in some markets, we represent more or less the market in other cases, no. Again, the simple view is the one that we already provided, is about 40%, 30%, 30%. So 40% is basic and about 30% and 30% are the other two macro categories. And this was the pre-COVID view. You remember, we discussed a lot in the context of pre-COVID. Obviously, during COVID this changed very materially because discretionary and most importantly, high impact basically went close to zero for some months. And basically, now we see the situation coming back to normal and the dynamic that we're observing at this stage that go in the direction of what I've mentioned, and therefore, very solid continued performance on basic and a little bit of a weaker trend on the other two categories. Honestly that do not change the big picture, at least not so far and honestly we don't expect to see that changing in a very material way unless we are something in front of us that is worse than what we all think.
Operator: The next question is from Alberto Villa with Intermonte.
Alberto Villa: A couple of questions from my side. The first one is on the other potential disposals we have been hearing about Interbancari in Italy and Ratepay. If you can update us on your thinking about potential other assets in the perimeter that could be generating additional cash through disposal. And the second one is more broadly comment on the competitive environment across the regions and now it has developed recently. Finally, well, there are a lot of rumors about potential interest about private equities on the Company. I was wondering if these rumors are having any impact on the day by day, let's say, operating activity of the Company or not.
Paolo Bertoluzzo: Alberto, let me cover the second and third question, and then I will endorse to Bernardo on disposal. Let me actually start from the third question that clearly is not unexpected, I would say. Listen, we read and listen to the rumors as much as you do. I would say I'm pretty impressed by our longer and longer the list of very high-quality private equity names that may be interested in Nexi is becoming. We just take it as a signal that out there that might be highly qualified investors that believe that our share price is pretty low for the quality of the asset and the potential of the asset. As you can imagine, the Company is just marching ahead and executing its own plans as normal and we leave the rumors completely out of it. As far as the competitive environment is concerned, I would say we don't see any new news compared to what we discussed in the past. As I mentioned that I think also during the last call, we see a little bit of an increased competitive intensity, I would say, in a couple of markets, namely Denmark and Italy. And interestingly enough, this is more driven by local competitors that are attacking more on price rather than product or proposition rather than the global ones or the more digital ones and so on and so forth. At the same time, in other markets and most importantly in the DACH region, we see a fairly heavy competitive environment, taking into consideration the fact that throughout the year and as we speak, we have been able to take some pricing actions across most of the markets to reprice on profitable customers or actually local stability customers without any negative impact. And that's one of the reasons why, again, we believe that the DACH region has a great potential for us. As far as disposals are concerned, I will hand over to Bernardo.
Bernardo Mingrone: Yes, I think, as I said, it's been hard work to manage to complete or sign the sale of eID given the choppy waters we were navigating in the M&A space and I think we're very pleased with the outcome there. Ratepay is a different kind of business. It is credit sensitive. It is sensitive to interest rates. And as you can imagine, it's been very hard to be able to house that business, but we continue to work in that direction. At the same time, we're managing Ratepay so that, I think, again it helps to repeat this. I mean Ratepay is not burning a hole in our pocket in terms of the cash drain and we are managing it to be as efficient as possible in this period of time in which we're trying to find a partner for it. With regards to further potential disposals, also on this front there's no real news. We always review our portfolio businesses to optimize it. There are other businesses which may well be disposed of. I think you mentioned the interbank network. I'm not sure and individually taken, that would be an asset we would seek to sell or entertain discussions with regards to sale off. But in general, there are businesses and portfolio businesses that we may well in the future choose to part with if the opportunity is attractive to us. So we keep reviewing this constantly.
Operator: The next question is from Alexandre Faure with BNP Parebas.
Alexandre Faure: I've got three questions, please. One, again on macro. If I heard correctly, you sort of frame that as seeing macro pressures essentially in DACH and in the Nordics in the moment in Merchant services. I was wondering if you could comment a little bit on Southern Europe, where it feels like discretionary spending volumes where volume growth was relatively muted also in August and September. And still on macro, if you could comment on any potential impact on issuing solutions if you've seen a lengthening of a decision cycle of your potential clients there? My second question is on something you called out, Paolo, around Orderbird revenue growing about 20% in the quarter. I was wondering how this compares to the performance you used to achieve before you took them out and it sort of would push you to invest further into this kind of integrated payment solutions outside of Germany, maybe. And lastly, I was trying to think about a conversion of payment volumes into revenues in Merchant services. Just wondering maybe you commented on that in the past, but if you've got a big chunk of your Merchant services revenues that would come from sort of monthly subscriptions with small merchants, that would be maybe less sensitive to slower volume growth.
Paolo Bertoluzzo: Alexandre, let me take the first couple of questions and then I will hand over to Bernardo on Merchant services dynamics. But listen, as far as macro is concerned, it's difficult for me to add much more than what I said before in a sense that we see signals, I mean, but the clear signals of this slowdown in DACH and in the Nordics. As far as Italy is concerned, as you can see from the page clearly, discretionary consumption is weaker. But I also have to tell you that, as you see from this page, has never fully recovered on the back of COVID. And I think here, there are very specific dynamic. Again, I think here we have to be clear with language because for us discretionary consumption is mainly, as I said, a fashion household products clothing, these type of things. What you see instead, a clear slowdown is in high impact consumption. It is also discretionary. So if you look at the broader discretionary consumption, clearly you see this slowdown also in Italy, even if the growth remains fairly heavy. And we should never forget that Italy is the market where probably we are benefiting the most from the shift from cash to digital and that shift is just continuing to happen at a fairly strong pace. And therefore, our numbers do not really represent the underlying economy. As far as the other end indicator that we tend to look at that are bankruptcies, there is really nothing we can say at this stage on Italy. But in general, that factor is not really a key leading indicator for Italy because Italian SMEs tend to be quite resilient to different phases of the economy given the Italian structure and characteristics of SMEs that, as you know, in the most of the cases are family businesses that basically manage their companies with a good level of flexibility and gives a lot of resilience to the Italian economy, which I think is a very positive element that we have there. As far as Orderbird are concerned, we see actually an acceleration of performance in Orderbird over time. I would not be able to tell you exactly what it was before because I don't remember, to be honest with you. We come back to you if that's of your interest. But actually we continue to see a very sustained performance as I mentioned, besides the stand-alone performance of the business that, by the way, see some bankruptcies as well. So we have to be a bit careful because even if you're growing your market share and you're growing your base and so on and so forth, if then the restaurants that you serve have problems by definition, you see that impacting you as well even if you are in software, not just in payments. More broadly on -- sorry, the most important thing for us was to start cross-selling and upselling together with Orderbird and this is happening as we speak. As I said, two sales forces are starting to upsell next payments into order, but base and together with other products. And at the same time, we see Nexi sales force that after a few trials -- successful trials is now starting at a larger scale to upsell software into our base and again on new customers as well. In terms of the broad strategy, I really want to go back to what we discussed at the Capital Market Day, which is our core belief that we have. We obviously are convinced that these convergence will happen between software and payments also in Europe, but will happen at a much, much lower pace than what has been observed in the U.S. for many different reasons, and one of the most important one being the fact that the European market is very, very fragmented compared to the U.S. one. And you should never forget that SME sizes are, in general, much lower than the SME sizes that -- smaller than the SME sizes that you observe in North America. In -- and also when you look at ISVs and software companies, they tend to be very different and very fragmented across markets. The vast majority of the providers in a market are present in that market only and the leaders across those markets tend to be different across the different markets. Our core strategy in this space remains one of partnering with leading ISVs. That's the reason why we continue to underline the effort we're putting in signing more and more high-quality partnerships. We assigned another 40 across the different geographies in the quarter. The overall partner's number is now above 1,100 and we'll continue to do so. In parallel, we are strengthening this partnership further also in terms of what we do together. They started by being more and more kind of distribution partnerships now. We try to bundle our products and services more. And I think going forward, you will see us bundling with local leading providers on core segments or core horizontal proposition more and more. So we don't have, as a priority or as a core element of our strategy, buying software assets around. I want to be clear. But we've been very happy to have the opportunity to have Orderbird in our portfolio to learn more and to experience what it takes to be in this business and to, most importantly, have these two businesses converging. So we're very happy with what we've done there. It's not necessarily a core of our strategy. Clearly, we consider the opportunity -- we're already considering opportunity to expand Orderbird beyond Germany starting with DACH to begin with. But again, our main strategy is partnering with the leaders and driving convergent propositions together. On the last point, Bernardo?
Bernardo Mingrone: Yes. Well, I think Orderbird is a good segue into last point given that it's clear to the subscription business. However, I think -- if I think back to your question, it's probably more about e-commerce than it is about physical acquiring and the physical acquiring between 25% and 35% of revenues are generated in and around point-of-sale terminals and everything we do in that space. And those are definitely subscription-like revenues, which we expect to continue in some shape or form for the coming years. But even -- sorry, in the physical acquiring space or in general, if we segment the client base as we do between SME, LAKA and e-commerce one-offs, which are the least subscription-like kind of revenues are more typical in the LAKA of space than in SME or e-commerce. But in e-commerce as well, it's important to say that we see stable recurring payments in the e-commerce segment. And this is particularly true in the Nordics, [indiscernible] and in Poland.
Operator: The next question is from Alastair Nolan with Morgan Stanley.
Alastair Nolan: I think most have been answered, but maybe just to go back on the BaFin Audit in Germany and just to clarify, is that now 100% complete. Those merchants have been kind of removed from the platform. There's nothing ongoing. And also just to maybe add on to that, there's nothing in terms of other regulatory involvement or shutting down of merchants taking place anywhere else in the Nexi portfolio? Just to clarify, given the kind of investor focus [indiscernible].
Paolo Bertoluzzo: So thank you for the question that allows us to go deeper into clarifying. Again, BaFin as well as any other regulator that is present in the geographies where we are a regulated entity is basically auditing companies like us and banks, broadly and so and so forth quite frequently with very different type of audits. Sometimes it's on IT, sometimes it's on IML. And every once in a while, they do special audits as well. And therefore, yes, there are always audits. There are always remediation actions that are ongoing in every single market, in every single situation and so on and so forth. That's a very normal way of doing business. And by the way, we always take that in a very collaborative approach with the regulators and it all works fine, I should give for granted that at any given point in time, there are actions being taken in a very normal course of business. As far as the specific topic of those risking merchants that was at risk of fraud is concerned, that audit was closed in the past and even before that audit was closed, we had shut down the business because we had started in early '21 to look ourselves into the topic as we did merge the companies. And as we -- and as we were understanding the business more and more. By the way, this was a risk that was highlighted into our due diligence work for were, no new news from that point of view. And that situation is completely closed from the regulatory standpoint and from the revenue impact standpoint. As you can imagine, when you shut down merchants and distributors, they're not necessarily all epi. And therefore, we're currently managing some legal claims that came out of that, but we are perfectly comfortable with that. We were expecting it, and we are talking about something that has a very limited financial impact. We are talking about single-digit millions at max. And again, we clearly have the regulator and the environment clearly understanding and supporting what we are doing here. We don't have any other situation -- any other material situation. We've not found any other material situation around the group of that type. It was a very specific case there. By the way, it was the German legal entity adding this business, but some of these players were not necessarily German, as you can imagine. As a rule, we took that opportunity to strengthen further our risk policies and the way we look at these things. And we regularly scan our customer base to look for potential areas of risk. And therefore, you should be for granted that any given date, it's possible that we shut here and there 1% or 2%, but there is nothing, nothing that is different from business as usual across Nexi as far as this topic is concerned.
Operator: The next question is from Simonetta Chiriotti with Mediobanca.
Simonetta Chiriotti: Yes. A couple of quick questions. The first is on the acquisition of Sabadell Merchant Book. If you can give us an update on this deal? And secondly, if you can spend a couple of words on the performance in Southern Europe, which is below other markets. So if we can expect anything different in the coming quarters?
Paolo Bertoluzzo: So as far as Sabadell is concerned, we probably closed the deal -- early next year at some point early next year. We have -- to be honest with you we don't have a precise plan yet. From our side, we are ready. The bank is finding some challenges in the coming out of the business, so there is nothing particularly difficult, but there are some unexpected changes in the coming out of the business that, again, will probably happen at some point in the spring, late winter spring, but we'll keep you updated on that. In the meantime, we see a very strong volume growth and customer number growth, and we have a very good relationship with the bank, and we are very happy to have this partnership happening. As far as Southern Europe more broadly on the trends, as I said, August was particularly challenging for Italy and Greece because both countries did enjoy very strong August the year before on the back of COVID rebound and everybody will be willing to go around and enjoy. Let's see how it develops in the coming months. Again, we see more fragile economies a little bit around, including South -- Southern Europe, even if for now, it is a bit more visible in DACH and Nordics.
Bernardo Mingrone: So I probably interrupted there, said by the summer, I meant a year, I thought your answer.
Paolo Bertoluzzo: No, no, sure, eID is signed and we expect to close it by the summer, as I said, but that should happen at some point or stuff next year.
Operator: The next question is from Thomas with AlphaValue.
Unidentified Analyst: Congrats on the results. Just a question. So platform numbers reduction, as you know, it's extremely important to stay ahead of competitors improve business efficiency and continue to create synergies. You have said that you are targeting four platforms in the long term. You closed five platforms in the first half and you are planning to reduce, if I'm not wrong, the same number of platform in the second half. So given the macroeconomic difficulties, do you think that this process might take longer? And please, can you give us some updates on that? And if you have any time line after 2023?
Paolo Bertoluzzo: Tomas, thank you for your question. Well, platform consolidation is a priority for us even though if you go back to what we discussed in the Capital Market Day, we don't plan to consolidate all platforms. We are consolidating a big time infrastructure data center more broadly moving a lot of stuff into the cloud, at the same time, and it's happening at a very high pace. As you know, the second part of the platform consolidation on the core platforms, while actually as far as front-ends are concerned, we believe that being very local and remaining very local is actually an asset, and we want to nurture that asset and leverage it across the board through our basically API cross-border platform. We will give you an update at the end of the year on where we stand. To be honest with you, we do not see the economic environment necessarily impacting the speed at which you can close platforms in a material way. The elements that impact normally platform consolidation has more to do with two aspects. Number one is basically -- actually, three aspects. We're preparing for that from the technology standpoint. And clearly, this is in our control and we are progressing more or less in line with our plans. Number two, convincing the customers that there's a benefit for them to migrate and therefore, I mean their support to migrate. And this is particularly relevant in the merchant services space when you talk about very large and complex customers, but it's actually normally very much true when we talk about banks in the issuance space where migrations are normally more complex. And the third element that drives the speed at which you can shut down platform is actually the usual trade-offs in between the opportunities to use your people, your highly qualified people and resources to drive new business versus not consolidating the back end of the business, and there is always a trade of that that we are managing. But in general, we don't see any impact from macro on this topic.
Operator: [Operator Instructions] There are no more questions registered at this time. I'll turn the conference for the closing remarks.
Paolo Bertoluzzo: Thank you very much, and thank you all for attending our call this morning. Again, very simple, I would say, messages, volumes growing in a very solid way with some signals we discussed of potential winnings going forward, especially in some geographies, but that very much in line with our plans and, therefore, allowing us to confirm the guidance we've given and again progressing in making our company stronger and stronger in line with more and more focused in line with the strategy we discussed. I'm really looking forward to talking to many of you in the coming days and weeks, and then we will be back together again in early March for results and a more general update on various strategic topics. Thank you very much, and have a good day. Bye-bye.
Operator: The conference is now over, and you may disconnect your telephones.